Operator: Ladies and gentlemen please standby. Good day, and welcome to the Allied Properties REIT Second Quarter 2021 Earnings Conference Call. Today's conference is being recorded. And now at this time, I would like to turn the conference over to Mr. Michael Emory President and Chief Executive Officer. Please go ahead sir. 
Michael Emory:
Cecilia Williams: Good morning. I'll speak on three things; one, our evolving disclosure; two, our progress on environmental social and governance practices; and three, our technology based initiatives. First, our evolving disclosure. Many of you know that we regularly solicit feedback so that we can provide the best information possible to our stakeholders. In our Q1 report this year with the support of Nanthini Mahalingam, our VP Finance and Accounting and her team we refined our disclosure to make the most important information the most prominent in our quarterly report. In our Q2 report, you may have noticed that we added to the disclosure in our leasing section on pages 40, 41 and 61. We've also been asked by investors to expand on leasing costs related to leasing activity in the period, which we understand the value of and will begin disclosing in our Q3 report. We're doing this with the goal of evolving into a leader of public disclosure. Our goal reaches beyond the quarterly report and includes disclosure in our Management Information Circular. This is where Anne Miatello, our SVP Legal Counsel and Corporate Secretary made a valuable contribution in her first few months with us earlier this year and will continue to do so in 2022 and onwards.
Tom Burns: Thank you, Cecilia. We are continuing our proactive approach to leasing by staying in constant touch with the active commercial brokers in each of our markets. Results have been positive with tour activity up in Q2, getting closer to pre-pandemic action and deal numbers are up as well. We completed 99 transactions in the quarter, totaling 533,000 square feet. Of the 99 transactions, 34 were with new tenants to the portfolio. And equally encouraging, there were 16 expansions completed. When comparing average rents on maturing leases to average rents negotiated, we achieved a 23.8% increase in rents on space renewed or replaced in the portfolio. It's worth mentioning and as fully expected the amount of space available for sublease in our portfolio declined considerably over the quarter. We expect this trend will continue. I will now provide an update on leasing activity in Montréal, Toronto, Calgary and Vancouver, and conclude with an update on our Urban Data Centre portfolio. In Montréal, our leasing team was especially busy completing 50% of all the transactions in the portfolio during the quarter. There were many small deals with new companies at our RCA and El Pro buildings in Saint-Henri. This is an encouraging sign for the future as we will be well-positioned to handle expansion as many of these small companies will inevitably grow. The most notable transaction in the quarter was a renewal of Beyond Technologies for 30,000 square feet at Cité Multimédia. We are now in the process of finalizing extension and expansion of a film industry tenant going from 100,000 square feet to 120,000 square feet. In addition, we have approximately 300,000 square feet in active negotiations in Montréal. We were delighted to announce recently the acquisition of Place Gare Viger. This project has exactly the type of differentiated space we seek and will give us yet another opportunity to better serve our tenant base in this city. In Toronto, we completed renewals with Synaptive for 35000 square feet, Verizon for 23000 square feet and Service Canada for 11,000 square feet. We also completed a deal for a full floor of 12,000 square feet near the top of the tower at The Well, bringing the pre-leasing of the office tower to 86%. There is approximately 450,000 square feet of active negotiations in our portfolio in Toronto.
Hugh Clark: Thanks, Tom. I would characterize this quarter as a return to normalcy for the majority of our development activity. As a result, we have been able to make progress on all of our major construction projects. I will begin by giving an overview of our major projects and then we'll follow that with an update on planning activity for our development pipeline. Construction activity, beginning in Montréal, the team continues to make progress on 400 Atlantic; 1001 Boulevard Robert-Bourassa, formerly known as 700 DLG, and has begun work on the upgrade of the RCA Building. In Central Canada, we have been able to make solid progress in all of our major construction projects. Beginning with The Well, we have topped off the office tower, closed on two more air right sales and begun the final work on the office floors that will be occupied by our workspace users at the end of Q3 and into Q4. King Toronto continues to be on track to reach grade by the end of the year. And the team has begun focusing on planning work to build in flexibility for the future retail tenants. In Western Canada, we have turned our attention towards leasing up our Lougheed Building. Our progress of work at Boardwalk, Revillon in Edmonton has resulted in the first deal. The team continues to make progress on this project and look to see where we can make further advances on the leasing front. Our partners Westbank have completed the majority of the base building work at 400 West Georgia, which has enabled the first tenants to start fixturing.
Michael Emory: Thank you, Hugh. As I mentioned in my letter to unitholders, we continue to make strategic infill acquisitions, principally in downtown Toronto. These afford respectable yields, and augment existing concentrations with future intensification potential. We allocated $100 million to acquisitions like these in 2020, and another $94 million thus far in 2021. We expect to continue allocating capital in this way, over the remainder of the year. As Tom and Hugh mentioned, we recently announced a large acquisition in Montréal, the urban office component of Place Gare Viger. It will significantly enhance our ability to provide distinctive urban workspace to knowledge-based organizations. The acquisition will also help us begin to expand, the range of knowledge-based organizations we serve to include the burgeoning biotech and life sciences sector. As Cecilia and Hugh have discussed, we continue to allocate large amounts of capital to development activity with our completion and return estimates remaining fully intact. We estimate that our current developments will increase our annual EBITDA by approximately $79 million, and have a weighted average lease term of 13 years. One final comment, you'll note, that the cover and first two pages of our quarterly report illustrate, how we plan to transform the ground floor of 700 de la Gauchetière in Montréal which will be known going forward as 1001 Boulevard Robert-Bourassa.
Question-and:
Operator:  We will hear first from Fred Blondeau with iA Capital Markets.
Fred Blondeau: Thank you and good morning. I'll be quick, just one quick question for Tom, in terms of sublease space within your portfolio. And also I guess, overall, in Toronto. Are these absolute levels in line with your scenario at this stage? And what should we be expecting for the remainder of the year? Thank you.
Tom Burns: We saw a significant decrease in sublease space, as did the rest of the market, Fred if that's the question. And we do expect companies will take their space off the market as they return to work. They're realizing they need the space.
Fred Blondeau: Yeah. That's why I mentioned absolute levels. I mean, that 627,000 square feet, is it more or less in line with your scenario, or you would have expected I guess a lower number at this stage?
Tom Burns: No. It's more or less in line with as we thought.
Fred Blondeau: Perfect. Thank you. That's it for me.
Operator: And now we'll take a question from Caitlin Burrows with Goldman Sachs.
Caitlin Burrows: Oh, Hi. Good morning. I was just wondering if you could give some details on the current conversations you're having with your tenants in terms of the, return to office progress and plans? And then, what you think or they're telling you that means or doesn't mean for their ultimate space needs?
Tom Burns: We're speaking to all of our tenants, quite frequently. And there's a wide range of opinions about, how quickly they'll resume occupying their space. Some are asking their staff to come back right away, some in September, some in October, some will be phasing in. And it relates to the comfort level of public transit and the level of vaccinations. Interestingly, I said in my speaking notes, there were 16 expansions in the quarter. So many tenants are actually taking more space to allow their employees, a little more border. We think that trend will continue.
Caitlin Burrows: Got it. Okay. And then maybe I know I'm not going to say the name right, so Michael the larger acquisition that you referenced at the end of your prepared remarks there in Montreal. Could you just give a little bit more detail on why that property was attractive to you the long-term plans for it and kind of timing of anything in particular that's going on there?
Michael Emory: Sure. And if it's any consolation, Caitlin, I mispronounced it almost consistently myself. It's actually Place Gare Viger and I'm inclined to call it Place Gare Viger which of course reveals that, I am an Amplifon and not very competent beyond that. But in any event, it is in my opinion, a spectacular mixed-use urban project that was commenced about a decade ago, and is grounded in the restoration of one of the finest heritage structures in this country. And that of course is Gare Viger itself, or an early railway station in the City of Montreal that was designed in the way the conventional British railway stations were designed at the time with the railcars actually coming right into the building, where the hotel accommodation existed. So that restoration started about a decade ago, and the space became the home of several extremely successful indigenous tech firms in the City of Montreal. The owner just then expanded the vision to include residential and hotel space at what I think of as the rear of the property. And then new urban workspace just behind the heritage structure, with all of the structures forming in a way a surround with an interior courtyard, which is beautifully designed and which will be utilizable by both the users of the buildings the different users and the public. It's also in an area of Montreal that is transforming spectacularly as we speak, primarily because of the finalization of a mega hospital complex called The CHUM. It employs 17,000 people and is instrumental in terms of medical education, medical research, and of course, health care. I think there are 1,000 beds in that particular facility, and it's one of two mega hospitals in the city. Interestingly, the other mega hospital or new mega hospital is immediately north of our Saint-Henri node. So we expect both hospitals to drive transformation in the area surrounding Place Gare Viger, which we just bought as well as the area surrounding El Pro and the RCA building, which Tom mentioned a moment ago. So for us it was a very logical acquisition of an extremely well-executed mixed-use urban development in the City of Montréal, which we know is continuing to experience accelerating demand for workspace on the part of a broadening range of knowledge-based organizations. And of course, perhaps the newest element of that range is the biotech and life sciences sector, which in Canada is very much behind, where it is in the United States. And I think there's a very strong belief that the biotech and life sciences sector in Canada will strive to catch up and that both the governments and the venture capitalists are now prepared to support that evolution in Canada's major cities. And we expect it to be very pronounced in the City of Montréal, as well as the City of Toronto and Vancouver going forward. But the rationale for Place Gare Viger is, it is ideally suited for what I think will be an emerging biotech and life sciences ecosystem in downtown Montréal. So, we love the asset. It is exactly the kind of facility we want to make available to those we serve. And as you know, we serve knowledge-based organizations. That is our mission. Every acquisition we make is designed to enable us to better serve knowledge-based organizations in major Canadian cities. Every development we undertake and complete is designed to do the same thing. We don't buy for buying sake. We don't develop for development's sake. We do both if and only if, it will make us a better space partner for knowledge-based organizations in this country and frankly around the world. That's probably more than you asked for but there it is.
Caitlin Burrows: I was actually going to ask you a quick follow-up. Just as you think about that property in Montréal then, is it one where you're just going to use your expertise to lease it up to the right sorts of users as opposed to needing some large amount of redevelopment capital from Allied?
Michael Emory: In the near term, we will be striving to do two things. One, to realize the full potential of Gare Viger itself. It's largely complete, but there's a tremendous amount of space below grade that we believe can be transformed and monetized or if you will made productive economically going forward. So, we want to bring it to its fullest potential and we think we're well-equipped to do that. We also want to complete the lease-up of the new building that is under construction and is 24% pre-leased to Novartis. We're well-equipped to complete that lease-up. Our Montréal leasing team is extraordinarily deep and extraordinarily busy. And our relationships with the brokerage community in Montréal are extraordinarily deep. And we feel, we can complete the lease-up of that building perhaps by year-end, but certainly by completion of the building in mid-2022. Tom's eyes just rolled a little bit when I said by year-end. But that might be a little ambitious, but that's what we're going to strive for, but we're certainly going to strive to have the leasing completed by mid-2022, when the building itself is ready for users to take occupancy and to build out their space.
Caitlin Burrows: Thank you.
Operator:  We will now move to our next question in the queue Mark Rothschild with Canaccord. Please go ahead.
Mark Rothschild: Thanks. Good morning everyone.
Tom Burns: Good morning, Mark.
Mark Rothschild: Maybe just following up on something that you kind of sort of -- you spoke about in different ways, you've long been favorable on Montréal and you have some sizable acquisitions there right now. You spoke of a number of different reasons, why you like those, like the acquisitions, whether it's the specific submarket or the type of property. To what extent is this driven by a real interest in being more active in life sciences, or is this just that, this is where the deal flow was now and it's an area that you like?
Michael Emory: We've been aware of this development, Mark for about three years. We looked at it three years ago as a potential development partner. And while we liked the asset very much then, we were very busy with Nordelec and we were very busy completing the Gaspé properties. So we felt taking on yet another significant development challenge might have overburdened the team and might have represented an excess allocation to development in the City of Montréal at that point in time. The owners have completed the development for the most part very successfully in the intervening three years. So, we would have bought this whether or not it facilitated accommodating biotech and life sciences uses. It is exactly the kind of asset we want to own and operate in major Canadian cities across the country. The fact that it actually may enable us to begin to serve biotech and life science users systematically and well was an added benefit. But we would have bought that in a heartbeat at its current stage of completion even, if it didn't afford that to us because at the moment, it's accommodating some of the finest technology users in the City of Montréal. And its ability to do that going forward in my opinion is extremely strong.  And we may or may not have mentioned this in the material that we issued publicly, but there's massive residential development occurring just to the east of Place Gare Viger. And so, what we're seeing unfold actually is the formation of a new mixed-use urban environment in downtown Montréal that in many ways parallels what we've seen at King and Spadina or in the Saint-Laurent market area or in Mile End in Montréal or in Gastown in Vancouver. So, it's an area of intense positive urban transformation and it's exactly the kind of thing Allied wants to be part of. 
Mark Rothschild: Okay. Great. Thanks. Since the beginning of COVID, you were very strong in your belief that people would return to the office in a material way. More recently you've been quoted publicly as being very forceful on this and pushing others to be more active in this regard. Can you comment on if these quotes that we've seen from you have been -- do you feel that you've been accurately portrayed as being so strong with your comments and maybe share with us the feedback you've received on those comments? 
Michael Emory: Yes. The journalists who wrote the article for The Globe did so responsibly accurately and with my expressed permission. So, I was accurately quoted. I think the headline was manipulated a little bit by the editors at The Globe and made a bit more sensational than my commentary was or at least then my commentary was intended to be, but I know only too well that it's very easy for the press to distort commentary.  But to be clear, the article was fair and reasonable and entirely consistent in its content with what I said. I believe what I said and I continue to stand by it, was a view shared by a very wide spectrum in the business community in Canada and particularly in Toronto. And I do think business has a responsibility to lead. I think Canadian business, the banks in particular, did an excellent job at the beginning of the pandemic leading large numbers of employees where they needed to be led which was to working from home. That was the right thing to do. The banks were strong, clear, articulate in what had to be done. And I think the Canadian business community was strong, clear and articulate in terms of what had to be done and did the right thing with our essential workers remaining in the workplace as needed to protect either assets or people as the case may be. I think it's incumbent upon business to lead back to work to lead back into the urban environment. There are many, many small businesses employing many, many men and women who are unable to open and unable to offer employment to those men and women, if we don't come back. So, I believe it's incumbent upon all of us including the chartered banks, who are leaders in our economy and in our communities and in our country to return. Does that mean everybody has to return? Of course, not. There are people who desperately want to return to work and with the vaccine program having been so successful in this country after a somewhat shaky start to be sure, it's time to come back. And it is incumbent upon business to lead in my opinion. So that's why I said, what I said, I stand by it. I was probably a little more provocative and confrontational than I normally am. But I'll answer for that and I stand by what I said. 
Mark Rothschild: Thanks. I appreciate the extra commentary. Thanks, so much.
Michael Emory: Thanks, Mark.
Operator: Now we will hear from Jonathan Kelcher with TD Securities. 
Jonathan Kelcher: Thanks. Good morning. First question just going back to Place Gare Viger. On the second building are you guys 100% responsible for the lease-up of that? 
Michael Emory: We are responsible for leasing. The vendor will be paying the costs associated with the leasing. But we are responsible for executing the leasing, and we are at risk if the leasing isn't executed. 
Jonathan Kelcher: Okay. So it's a set price basically no matter what that? 
Michael Emory: That is correct. With the vendor funding leasing costs according to a formula that we're fully in agreement on. But we have the responsibility, to find and negotiate with the users of the building above and beyond the 24% leased to Novartis. 
Jonathan Kelcher: Okay. And how do rents in that building compare to say downtown Montréal or some of your other submarkets? 
Michael Emory: The rents are entirely consistent, in the new complex with what we can obtain in our best quality differentiated urban workspace in Montréal. 
Jonathan Kelcher: Okay. Does that imply that there's room for the other building is under-rented in any form? 
Michael Emory: I believe Place Gare Viger is a bit below market but not materially especially given the quality of the principal user and given the term of commitment made by that user. Without wanting to ruin Tom's, day a second time, my feeling is we might be able to do a little better on lease-up of the new building than initially achieved with the lead tenant. And frankly, that's not unusual. The lead tenant, usually gets the best deal. If we look at The Well for example a much larger scale leasing effort that Tom and Tim Low and others on our leasing team oversaw. The initial transaction with Shopify was by in a way the most favorable economically for the user. And each subsequent transaction was better in terms of net effective rental rates payable to the owners Allied and RioCan. So, I would expect the same to occur here. But as I say the pricing was based on achieving the same level of leasing as the pre-lease not a higher level. So there is a bit of an opportunity and I don't want to overstate it. And I certainly, can't assert this categorically at this point in time but there is a bit of an opportunity for us to do a bit better. 
Jonathan Kelcher: Okay. That sounds good. Just switching gears to leasing and the new disclosure on term to maturity, I think for the quarter it was sub four years. How -- and I guess that's obviously below your in-place average of 5.6. Was there -- was that -- was there anything special this quarter that would have had it lower tenants being more conservative or anything like that? 
Michael Emory: Jonathan, there's nothing I'm aware of. It was a relatively modest quarter in terms of lease expiries. Was it 250000 square feet Cecilia or 450000? 
Cecilia Williams: No roughly about 350,000 that we released from maturing space.
Michael Emory: Okay. So, 350,000 matured in the quarter which is not a lot for us. I mean we usually have more maturing in any given quarter. There was nothing that stood out Jonathan although you're quite right that the turn to maturity of the renewed leases is somewhat shorter than the weighted average term to maturity of our portfolio overall. But there was nothing that stood out as sort of a truncated renewal that I can recall.
Tom Burns: A lot of the deals that were done in RCA were short-term deals strategically. So, we're trying to position the building to be most attractive to other users and somewhat larger users. So, many of the deals were two-year deals, three-year deals. So, that's probably skewed the number a little bit. 
Michael Emory: Yes, because we're trying to -- we really want to ultimately release RCA in a much more emphatic way than we have to date. So, these tenants are effectively on a holding pattern for us and might be repositioned over to El Pro or elsewhere. Yes. Okay. That makes a lot of sense. So, there is an answer Jonathan I just didn't have it.
Jonathan Kelcher: There you go. Perfect. And then lastly just on -- Tom I guess very positive on what you're seeing in terms of demand. Where do you guys think you can end the year on occupancy?
Tom Burns: That's a great question. The demand actually is amazing for us right now. It's so hard to predict. We're optimistic. We think our occupancy levels will go up in those markets. Hard to predict. 
Jonathan Kelcher: Okay. But higher than -- so, Q2 is hopefully the bottom and then it starts to grow from there?
Tom Burns: We hope so.
Michael Emory: Jonathan I'm going to give you an answer and you know that it's going to be at the optimistic end of the range. But let me--
Jonathan Kelcher: Lot of pressure on Tom coming from this call.
Michael Emory: Yes. But there is one factor that is giving us all pause here and that is something we adverted to when we explained our internal forecast for 2021 for the first time when we issued our Q4 results for 2020. And that is some turnover vacancy that we know we're going to sustain at Cité Multimédia in Montréal. Were it not for that I would be confidently telling you that our occupancy would increase meaningfully over the remainder of 2021 and Tom would probably agree with me. Because of that we are all a little hesitant. Now, having said that, let me say this Tom and Tim and the team are doing a brilliant job of replacing the tenants that are not redoing -- not renewing at Cité Multimédia. And I think there's a very good chance that we will end up with much less turnover vacancy and perhaps no real hit to occupancy or leased area as a result of these non-renewals, but we don't know that yet. So, to summarize were it not for that our occupancy would absolutely go up across the portfolio by the end of 2021. Because of that there's some risk that we have to recognize that our occupancy gain will be temporarily reduced or deferred as we deal with that turnover vacancy. I think we're going to do very, very well with that space. We've already done really well with it and the caliber of the tenants is even more encouraging but we're not there yet. We don't have all of the space committed. And it could put some downward pressure on our occupancy at least for a couple of quarters before we then return to what I think would be a steady trend upward. So, we're -- the risk we have is the upward trend might be deferred but it certainly isn't going to turn into a downward trend. But the upward trend in occupancy and leased area might be delayed as a result of those non-renewals which we've known about for a long time and adverted to when we put our internal forecast together for 2021.
Tom Burns: Jonathan, I was being quite cautious in answering the question. But I will also say that I'm quite eager for our Q3 conference call, because I think we'll be able to suggest some really positive news. We're getting close on some sizable tenants. We're not there yet, but we're getting close.
Jonathan Kelcher: Okay. That's it for me. Thanks.
Operator: Our next question will come from Howard Leung with Veritas Investment Research.
Howard Leung: Thanks. Good morning.
Michael Emory: Good morning.
Tom Burns: Good morning.
Howard Leung: I also wanted to follow-up on the same-asset NOI for the rest of the year. I think the forecast was still kept at low- to mid-single digits. This quarter was pretty strong. I guess, it's -- is that because a big portion of the growth this quarter was from the wind up of the provisions from last year?
Michael Emory: No. We -- the provisions remain in place. So we have not reversed them and brought them into income at all. So, I think the $3 million provision in aggregate remains in place and we expect it to remain in place for a while. We don't anticipate bringing it into income until there's more clarity with respect to the reopening. But same-asset NOI was strong, certainly because in the second quarter of 2020 we participated in the CECRA program and agreed to abate 25% of the rent payable by some of our retail users as part of that program. I think we'll see the same, if you will favorable, comparable quarter in Q3 for that reason. We've also seen rent growth -- material rent growth really over the comparable quarter. So I think the combined impact of the two things has given rise to pretty healthy same-asset NOI growth. And as I say, we expect that to potentially taper in Q3 and Q4, if we sustain the kind of turnover vacancy, we initially thought we'd sustain in Montréal at Cité Multimédia. If we're able to avoid that and to have very quick re-leasing and very quick re-occupancy which is possible, then I think there'd be a little less pressure on our same-asset NOI in Q3 and Q4. And -- but the number we forecast I guess forecast -- well yes, the number we forecast for 2021 is actually predicated on having a reasonable amount of turnover vacancy with respect to expiries in Montréal in Q3 and Q4 of 2021.
Howard Leung: Right. Right. That makes sense. So that's been vacant and that's why it's built into the forecast. I guess on that note on the leasing, not to take on Tom as well, but the expanded disclosure on the tours and the lease terms was pretty helpful. It looks like the tours, maybe it's a seasonal thing but it's gone up and also the conversion rate, if I just kind of take the transaction on tours has gone up. Is that kind of what you're expecting? Are you expecting to even grow your conversion rate for the rest of the year?
Tom Burns: We're always pressing to about 1,000. But I think we'll see a continued increase in tour activity as our teams in every market are encouraging their broker relationships to bring their tenants to Allied. And these contacts are absolutely happening every day in every market. And so, we saw -- I think it was about a 25% increase in tour activity from Q2 over Q1. And that trend will probably continue. And I think we'll get better and better at converting those tours into real deals.
Howard Leung: Right. And would you say that I guess compared to pre-COVID the tours, have they kind of reached what you saw back then, or are we still kind of a ways off?
Tom Burns: I think we're getting close to it now because of the extra efforts by the team.
Howard Leung: Okay. That's great. Thanks. Thanks so much for answering my questions. That’s it for me.
Michael Emory: Thank you.
Operator: Now moving on to Pammi Bir with Royal Bank of Canada Capital Markets.
Pammi Bir: Thanks. Good morning.
Michael Emory: Good morning.
Pammi Bir: Just in terms of the renewal we've seen, you mentioned the 16 lease expansions. So I'm just curious do you have an estimate of how many tenants may have reduced their space? And are there any conversations around more flexible lease terms?
Tom Burns: We're not seeing any tenants reducing their space. 
Michael Emory: Nor have we had conversations to-date in that regard, that doesn't mean we won't. We don't know what people are thinking fully yet, but we've had no discussions with any tenant along those lines thus far.
Pammi Bir: Got it. So another sort of encouraging sign, I guess, so far this year. In terms of the leasing spreads, it was nice to see, I guess, a strong rebound in Q2. I guess, some of that was just less space in Calgary. But as you look ahead, are you seeing any pressure on the ability to sort of continue to hit those spreads on a go-forward basis at least through 2021?
Tom Burns: I would say, we're going to continue to enjoy really good spreads, because the demand is strong. The number of tours as we talked is up the activity with all of our teams is up and it's going to turn out to show that the rents are going to go up as well. It's just supply and demand.
Pammi Bir: And then just coming back to the comments around the occupancy outlook, I appreciate this is still a lot of moving parts. But to what extent does perhaps new supply impact your view, I guess, particularly in Toronto over the next call it 12 or next 18 months or so?
Michael Emory: We've been monitoring the new supply for years now very carefully with active assistance on the part of the better brokerage firms. To be very candid, I don't anticipate the new supply in Toronto having any negative impact on Allied's portfolio whatsoever. Remember too that Allied is a significant part of the new supply. If there are 8 million square feet coming toward completion, Allied is behind roughly 1.5 million square feet with 100% lease-up at 19 Duncan, and 86% lease-up at The Well, of course, at our share and at RioCan share. And what Tom didn't mention, but which we all know is very much in the works is a final transaction at The Well that could for all practical purposes get the office space to full lease up. It's not done yet and it's never over until it's over, but it is in a very advanced state of negotiation and finalization. And so our belief -- that new space by the way has a weighted average lease term of around 13 years. So we don't see the new space having any negative impact on Allied's portfolio. Where it might have some negative impact is on the limited amount of supply in urban Toronto that is verging on obsolescence, but again, we're very lucky in this market. The demand is so great and has historically for the last five years at least been so great that there's very little space that hasn't been upgraded to the new standards of building operations that tenants quite rightly expect today. So this isn't Calgary and I say this not to knock Calgary, but Calgary has a lot of office space verging on obsolescence. And it is going to have to be dealt with as that market recovers. Toronto has very little and none of it is in our portfolio.
Pammi Bir: Got it. And just maybe going back to Tom's comments earlier about, I guess, potentially some positive news in Q3. Was that with respect to Montréal or Cité Multimédia, or was that comment more with respect to the potential work at The Well in terms of leasing?
Tom Burns: It was with respect to Montréal and Cité Multimédia. 
Pammi Bir: Okay. Any thoughts on when maybe this lease at The Well could come to fruition? 
Michael Emory: It will happen when it happens. I would hope -- I mean, I can tell you this the next time we report it either will have died or been completed.
Pammi Bir: Okay. All right. Just maybe one last one for me. Just in terms of the -- for Cecilia the capitalized interest did increase rather sizably in the quarter. Just as completions do ramp up in particularly The Well just curious if you could comment on the outlook for the capitalized interest?
Cecilia Williams: Yes. So it does go up as we continue investing in our development pipeline. So you can expect it to continue increasing this year and begin to taper next year as we have fixturing and occupancy commencing at The Well in particular. That would be the biggest driver. 
Pammi Bir: Got it. Thanks very much. I will turn it back.
Michael Emory: Thank you.
Operator: Now we will hear from Matt Kornack with National Bank Financial.
Matt Kornack: Hi, guys.
Michael Emory: Good morning.
Matt Kornack: I'll start actually with a follow-up question to Pammi's question there and really appreciate the timing on when leases actually are cash paying for The Well. But will the capitalized interest fall off at the beginning or as those spaces are leased? And then also with regards to straight-line rent should we assume that the, sort of, FFO increases earlier on in the process and that would be the cash rent commencement for those leases that you've identified at The Well?
Cecilia Williams: So the capitalized interest as we begin getting our occupancy permits and the fixturing begins it will be a bit of a phased approach. So it's not going to happen all at once. It will probably happen over a 6 month to 12 month period. You can probably use the new disclosure we have on page 61 in terms of rent commencement as a rough guide. And sorry what -- sorry Matt what was your second question? 
Matt Kornack: Yes. Just whether it's those dates that you've provided is that sort of the beginning of fixturing, or is that when cash rents would be paid in rent? 
Cecilia Williams: No, that's rent. Yes, that's a rent commencement that's cash rent. So fixturing would be anywhere between 6 months to 12 months prior to that. 
Matt Kornack: Okay. So we'd expect the FFO to trend sort of six months before those figures fair enough. 
Cecilia Williams: Exactly. Yes.
Matt Kornack: Okay. No, that's perfect. And then on Novartis is that all, sort of, corporate space, or is there a lab component to that office space? And then also do you think Novartis is the beginning of a trend. I mean, I think, most of the biotech companies in Montréal are located in the West Island in suburban areas do you foresee a move from the West Island to downtown by more of these guys? 
Michael Emory: The answer to the first question is, it's all office space. There is no lab component. To the second question the answer is, yes. I don't want to suggest there's going to be a tidal wave of movement from the suburbs into the inner city. But I think there definitely is a trend to the inner city. And I think the gravitational pull is coming from the two mega hospitals. So, yes, certainly one of the reasons behind the decision Novartis made is proximity to what they believe will be a biotech and life science ecosystem. That definitely underpinned their decision. They're actually selling their building once this move is completed in the suburbs. And I do believe there will be a trend along those lines, but I certainly wouldn't want to suggest it's going to be a tidal wave. It's just -- I think some of these organizations are going to want to be in closer proximity to kind of a diverse biotech and life sciences ecosystem. And I think that's what we'll be pulling them if they do elect to move.
Matt Kornack: Fair enough. And I was on King West a week or two ago pre the opening of indoor dining and it's hard to get a reservation on a patio, but interested in your thoughts with regards to retail in terms of tenant health as well as maybe parking revenue throughout the balance of the year. We can't predict the waves of COVID. But if things continue on this trajectory, how should we think about those two items?
Michael Emory: Well, our retail users in King and Spadina and in the Saint-Laurent market area in particular are fortunate, because they're in mixed use parts of the city. So even if the office repopulation is slow in those areas. And by the way, it is beginning to accelerate. There's plenty of custom for them from the people who live in those areas. So our retailers throughout this pandemic have been able to, if you will get to maximum demand for whatever they're allowed to provide under the rules, right away because of the residential populations. The same isn't true of the retail users at the base of the towers or in the underground path system because people who live in Downtown East and Downtown West are not migrating to those areas to give trade to those businesses. But in Downtown East itself and Downtown West itself, the minute the retailers can open, they've got all the demand they can serve and satisfy. Now that the environment is one of almost full opening, it's going to be very interesting but our expectation is and our observations are, they're as busy or busier than ever. We expect all of our key independent owner-operated retail and service businesses to survive and indeed to prosper going forward.
Matt Kornack: Makes sense. One quick follow-up. On the King project, you mentioned something with regards to the retail users there. Is there any anticipation of changing what was going to be offered there and maybe skewing more towards office, or are you sticking with the same plan in terms of the base of that building?
Tom Burns: Sticking with exactly the same plan. There'll be a number of retail users and restaurants of course and some limited amount of office.
Matt Kornack: Okay. Fair enough. Thanks, guys.
Michael Emory: Thank you.
Operator: Now move to a question from .
Unidentified Analyst: Hello.
Michael Emory: Hi.
Unidentified Analyst: Thank you for taking my call. My question. And I apologize, if any of these have been addressed already but I joined a bit later. And first on the severance expense in your G&A this quarter. Can you comment on that? 
Michael Emory: Pardon me, so comment on the severance. Yes we evaluated people in our property accounting and operations teams earlier this year and determined that in part because of process improvements and technology improvements we didn't need the same level of coverage as previously. We also looked at people in the operations team and concluded that there may be some misalignment in relation to our core values on the part of certain people and some if you will levels of disengagement and decided to address those issues all in the Toronto team. And we decided to address them if you will at once, as the pandemic was ending. Had the pandemic not occurred, we probably would have addressed these issues much sooner and probably in early 2020. But in an effort to keep everybody whole during the pandemic, we addressed them only earlier this year. So that's what that relates to.
Unidentified Analyst: Okay. So that's one-off. And for the second portion of the Gare Viger deal like for the 700 Saint-Hubert, what kind of plans to finance it?
Michael Emory: Sorry, you broke up a little bit there. What was the question?
Unidentified Analyst: On the second portion of the Gare Viger deal for the 700 Saint-Hubert, how are you planning to finance it?
Michael Emory: Oh, how are we planning to finance the acquisition of the building under construction pre-leased to Novartis? We haven't determined that yet. It will depend on a number of factors. It will depend on our cost of debt at the time and our debt metrics. It will depend on our cost of equity at the time. But we haven't had to make that decision and won't have to make that decision until about a year from now. And we're fortunate to be in a position of -- I won't call it extreme liquidity, but very considerable liquidity. So we can afford to wait in terms of deciding how optimally to fund that particular acquisition. It's not small certainly, but it's also not massive. And my guess is we'll probably end up funding it on a leverage-neutral basis with equity coming either from the equity capital markets or from the disposition of non-core assets, which is how we're funding the -- let's call it the equity component of the acquisition of the properties at the end of August. Hope that's helpful.
Unidentified Analyst: Okay. Thank you. That’s all I had.
Michael Emory: Thank you.
Operator: And it looks like we have one final question in our queue. We'll take our final question today from Jenny Ma with BMO Capital Markets.
Jenny Ma: Thanks and good morning. I appreciate the expanded disclosure. It's always welcome. Just a couple of questions on the Place Gare Viger, could you give us any color on how to think about the going in yield on this asset for the combined asset component and the land of the small office piece?
Michael Emory: That's a question we've been asked a lot. And the way we have consistently answered it is to say that the going in unlevered yields are entirely consistent with what is taking place in that market today.
Jenny Ma: Okay, great. And then turning to the biotech and the life sciences piece, it sounds like this is a bit of a new direction for you guys and very, very early days. But I'm wondering if there is any opportunity to be acquiring such properties, or is that direction for Allied more driven by organic growth starting with that piece of land at Place Gare Viger?
Michael Emory: The acquisition opportunities appear to be limited, primarily because the biotech and life sciences evolution in Canada is very much behind where it is in the United States and in other countries. So the opportunity to buy assets is limited. It's not nonexistent, but it is limited. I think there's a greater opportunity to create assets that will serve the different segments of the biotech ecosystem. And, of course, those segments would range from very small startups right through to very large enterprises. And as I say in Canada, we're very behind in every respect at the small end of the spectrum and at the very large end of the spectrum. But there's a strong belief on the part of I think both governments and businesses that Canada needs to improve in this area. We certainly have the intellectual capability and the educational capability to improve. And probably most importantly there is significant amounts of VC funding becoming available in Canada for the first time in a long time for exactly this kind of evolution but we're very early stage. There are very few true complexes in existence today that could simply be acquired.
Jenny Ma: Great. Thank you. And then as far as further into the question, what is Allied's appetite or range of the spectrum of these kinds of assets you're willing to operate, I guess ranging from office all the way to pretty high intensity lab space? We've got some experience operating the UDC portfolio, which is more technical. So, what's your appetite and range for what you'd like to invest say for the biotech and life sciences side?
Michael Emory: We would ultimately like to develop the capability of serving the entire spectrum, from if you will base building intense facilities with wet labs right through to office space of the sort that Novartis will be leasing. So, we want to develop the capability of serving the entire spectrum. You're quite right our expertise with respect to the base building intense reality in our UDC space, I think gives us a head start in understanding and ultimately managing a more intense based building type of facility like biotech and life sciences users would need. There are differences of course, but frankly, the UDC environment is more intense, more demanding, more complex than any biotech or life science facility can possibly be we believe. That said we have a lot to learn. We are not experts. We're not pretending to be. Allied has typically been careful about expanding its operating focus. We will walk first then we'll jog. And if things go well, we'll start to run. But we're not going to start to run on day one, and we're not suggesting to anyone that we have in-house all the expertise we need to serve these kind of tenants the way they need to be served. But we're highly confident of our ability to develop that expertise. And we have the financial, and I think locational capabilities to do that ultimately. So, the key will be developing the expertise.
Jenny Ma: Great. Thank you very much.
Michael Emory: Thank you.
Operator: Ladies and gentlemen, this will conclude your question-and-answer session for today. I'll turn the call back over to your host for any additional or closing remarks.
Michael Emory: Thank you, and thanks to all of you for participating in our conference call. We will keep you apprised of our progress going forward, and wish you all well in the interim. Have a good day. Thank you.
Operator: And with that, ladies and gentlemen, this does conclude your conference for today. We do thank you for your participation and you may now disconnect.